Operator: Ladies and gentlemen, thank you for standing by. Members of Buckle's management on the call today are Dennis Nelson, President and CEO; Tom Heacock, Senior Vice President of Finance, Treasurer and CFO; Adam Akerson, Vice President of Finance and Corporate Controller; and Brady Fritz, Senior Vice President, General Counsel and Corporate Secretary. As they review the opening results for the first quarter, which ended April 30, 2022, they would like to reiterate their policy of not giving future sales or earnings guidance and have the following safe harbor statement. 
 Safe harbor statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on the factors which may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statements.  
 Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission. The company does not undertake the publicity -- pardon me, does not undertake to publicly update or revise any forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized.  
 Additionally, the company does not authorize the reproduction or dissemination of transcripts or audio recordings of the company's quarterly conference calls without its express written consent. Any unauthorized reproductions or recordings of the calls should not be relied upon as the information may be inaccurate. That being said, welcome, everyone, to the Buckle's first quarter earnings release.  
 I would now like to turn the conference over to our host, Mr. Tom Heacock. Please go ahead. 
Thomas Heacock: Good morning, and thanks for joining us this morning. Our May 26, 2022, press release reported a net income for the 13-week first quarter ended April 30, 2022, was $55.3 million or $1.12 per share on a diluted basis compared to net income of $57.3 million or $1.16 per share on a diluted basis for the prior year 13-week first quarter, which ended May 1, 2021. Net sales for the 13-week first quarter increased 3.3% to $309.1 million from net sales of $299.1 million for the prior year 13-week first quarter.  
 Comparable store sales for the quarter increased 3.7% and online sales were $54.3 million, an increase of 1.1% compared to $53.7 million in the first quarter of 2021. For the quarter, UPTs decreased approximately 2%. The average unit retail increased approximately 1.5% and the average transaction value decreased about 0.5%.  
 Gross margin for the quarter was 49.2% compared to 49.3% in the first quarter of 2021, with the current quarter decreased the result of a 20 basis point decline in merchandise margins and a 20 basis point increase in store distribution freight costs, partially offset by a 30 basis points of leverage occupancy costs.  
 Selling, general and administrative expenses for the quarter were 25.6% of sales compared to 24% for the first quarter of 2021. The current quarter increase was the result of a 140 basis point increase in store labor-related expenses, a 30 basis point increase in e-commerce freight costs and a 25 basis point increase in marketing and certain other SG&A expense categories. These increases were partially offset by a 35 basis point decrease in incentive compensation accruals. Our operating margin for the quarter was 23.6% compared to 25.3% for the first quarter of fiscal 2021. Income tax expense as a percentage of pretax net income for both the current and prior year fiscal quarter was 24.5%, bringing first quarter net income to $55.3 million for fiscal 2022 versus $57.3 million for fiscal 2021.  
 Our press release also included a balance sheet as of April 30, 2022, which included the following: inventory of $121.2 million and total cash and investments of $283.1 million. First quarter inventory comparisons for the last several years include $89 million at the end of Q1 2021, $121.7 million in 2020 and $120.8 million in 2019. We ended the quarter with $103.3 million in fixed assets net of accumulated depreciation. Our capital expenditures for the quarter were $7.1 million and depreciation expense was $4.5 million.  
 Year-to-date capital spending is broken down as follows: $7 million for new store construction, store remodels and technology upgrades and $0.1 million for capital spending at the corporate headquarters and distribution center. During the quarter, we completed 6 full remodels, all of which were relocations into new outdoor shopping centers and also closed 1 store. For the year, we plan on opening 5 new stores and completing 10 to 15 additional full remodeling projects. Based on current store plans, we still expect our capital expenditures for the year to be in the range of $22 million to $27 million, which includes both planned store projects and IT investments. Buckle ended the quarter with 439 retail stores in 42 states compared to 442 stores in 42 states at the end of the first quarter of 2021.  
 And with that, I'll now turn it over to Adam Akerson, our Vice President of Finance. 
Adam Akerson: Thanks, Tom. Throughout the first quarter, our buying teams delivered a steady flow of newness that continued to be well received by our guests. Women's merchandise sales for the fiscal quarter were up approximately 2.5% against the prior year fiscal quarter. For the quarter, our women's business was approximately 48.5% of sales compared to 49% in the prior year.  
 Average denim price points increased from $76.20 in the first quarter of fiscal 2021 to $76.60 in the first quarter of fiscal 2022, while overall average women's price points decreased slightly from $45.50 to $45.45. On the men's side, merchandise sales for the fiscal quarter were up 4% against the prior year fiscal quarter, representing approximately 51.5% of total sales compared to 51% in the prior year. Average denim price points decreased from $86.20 in the first quarter of fiscal 2021 to $86 in the first quarter of fiscal 2022. For the quarter, overall average men's price points increased approximately 1% from $50.20 to $50.75.  
 On a combined basis, accessory sales for the fiscal quarter were up approximately 8% against the prior year fiscal quarter, and footwear sales were up about 12%. These 2 categories accounted for approximately 9% and 12%, respectively of first quarter net sales, which compares to 8.5% and 11% for each in the first quarter of fiscal 2021. Average accessory price points were down approximately 2.5%, while average footwear price points were up about 3%.  
 For the quarter, denim accounted for approximately 40% of sales and tops accounted for approximately 27.5%, which compares to 42% and 26% for each in the first quarter of fiscal 2021. During the quarter, our private label business grew to 42.5% of total sales compared with 38% in the first quarter of 2021.  
 As Tom alluded, we finished the quarter with inventory for both our men's and women's departments in a much more comparable pre-2021 levels as we move into summer and back-to-school. We continue to be encouraged by the health of our guest file. We began the year with over 33% more 12-month active guests than the previous year, and we continue to grow that file during the first quarter of 2022. Complementing this growth, we have also been able to maintain a high retention rate of over 50% of our guests. 
 With that, we welcome your questions. Thank you. 
Operator: [Operator Instructions] Okay. Our first question is coming in from the line of Peter Brotchie with Brotchie Capital Management. 
Peter Brotchie: Yes. So general question on your core demographic. My impression is that they skew a little younger and are likely to have more discretionary income and perhaps maybe less affected than, say, a typical family of 4 by the current inflationary pressures. And on a related note, I think you're -- and correct me if I'm wrong, but your denim price points may actually be lower than they were, say, 2014 or earlier in the [ '10s ].  
 And so I'm just wondering if you can add any color to your ability to pass through any cost pressures that you're seeing in terms of coming from the manufacturers of the clothing itself and shipping costs. And then, I guess, are you still seeing elevated shipping costs in terms of pressure there? 
Dennis Nelson: The -- your assumption on our guests is in the maybe the '90s, early 2000s was a younger guest. We still sell very well and with us adding [ youths ] to junior high, high school, college age, but we've also kind of grown up with a lot of our guests from the early days where we probably have as many or more 25-, 30-year olds and older shoppiness as well.  
 As far as the 2014 earlier days, there was a time where we were selling a large amount of branded denim that would sell anywhere from $120 to $160 plus. It was a big part of our business. And as that trend kind of evolved over the last few years, we've done an excellent job of continuing to sell some of our guest favorite brands but also developed our own private brands, and that has become a very strong part of our business and offering great value.  
 A lot of them are around $70, and we have kind of our premium brands that would be in the $85 range. So we've grown that substantially. Costs are up just slightly on those when there's maybe 3% to 5% increase in retails on some of that product. But we think we offer a great value, great quality, and our team has done an excellent job of continuing to develop our denim business. 
Peter Brotchie: That's great color. So -- but you -- do you see any pushback on that 3% to 5% increase in the price points? It wouldn't seem that way from your report. 
Dennis Nelson: No, I'd say through first quarter, we have not seen any question about that. And actually, as we build up our denim inventory, we've added sizes where people wanted either smaller sizes, larger sizes, some longer inseams or shorter inseams. So we're trying to cover more guests and satisfy them that way.  
 But yes, the team -- we're very excited. The first quarter was great. It was off -- just slightly off an incredible record performance last year. Our teams are doing very well at -- we focus on being the best specialty store we can be, and everybody is doing a nice job of continuing to build on that. 
Peter Brotchie: Yes, that's fantastic. And just on the shipping costs, are you still seeing elevated pressure there? 
Thomas Heacock: We are, and that was one of the areas we called out in the, I mean, the narrative that we're seeing pressure there in a couple of different ways. Some of it is inbound. So in the product cost, and that's part of the reason, again, coming off record merchandise margins, where merchandise margins were down 20 basis points. Some of that's input costs, but a lot of that is freight in. That's a part of the inventory.  
 We also called out and saw some pressure on distribution. So packages coming from our distribution center going to stores, that was an increase as well, which is a function of increased rates but then also increased receipts, a lot more packages, a lot more newness and excitement going through the stores. And then the last bucket is online orders, and increases there are kind of the same thing, an increase in packages with our online growth and the way we're shipping and then also increased rates. So we are seeing some pressure there. But to date, it's manageable. 
Peter Brotchie: Okay. Congrats on being able to build up record numbers from '21 and Q1 '22 here. 
Dennis Nelson: Thank you, Peter. 
Operator: Our next question comes from Jon Braatz with Kansas City Capital. 
Jon Braatz: Dennis, Tom, can you speak to a little bit about the occupancy costs? You're still beginning -- you're still leveraging those costs, and it's been going on for a while. And is there a point where we begin to see that leveling off and that not helping the margins as much as it has been? 
Dennis Nelson: Well, we're very excited about a lot of our relocations into outdoor power strips or different -- or a variety of locations. We're in the smaller mid-markets. We've moved out of malls that have not kept up the draw for us. For such a destination store that we've been able to relocate and still drive nice traffic, and we're excited about that. We have a lot of projects going, and we'll continue that through next year as well. 
 So how much leverage we'll have in the future, I don't want to predict, but we're -- we think we have a great real estate strategy, and our team there is doing an outstanding job of working with our landlords and developers, and we're building off our ability to drive business and be a draw where we're kind of a mini anchor in a lot of these situations. 
Jon Braatz: Okay. Okay. Dennis, how choppy has the deliveries been from overseas? Are you getting things on a timely basis? And secondly, really here in the Midwest, the summer hasn't materialized yet. Are you seeing any impact on sort of summer sales as a result of the mild temperature still? 
Dennis Nelson: Well, the first quarter, we're planning out an extra 4 to 8 weeks, depending on the category, and first quarter was pretty good to us. There's always exceptions and some delays on a few things. But overall, we had great delivery on product and our vendors are doing a nice job working with us. First quarter, in certain parts of our company, maybe had a little adverse effect on some of the short selling, but it was very strong a year ago, that first quarter. But we feel real good about our selection of summer product and as we move into the summer season. 
Operator: [Operator Instructions] We're not seeing any additional questions in the queue. Please continue. 
Thomas Heacock: If there are no further questions, we can wrap up the call for today. So thank you, everybody, for joining us, and have a wonderful rest of the day. 
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. We thank you for your participation and for using AT&T conferencing service. You may now disconnect.